Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Thank you for joining us. We are here to provide a corporate update and report on Thunderbird Entertainment Group's fourth quarter and year-end fiscal twenty twenty one results, which ended June thirty, twenty twenty one. Speaking on today's call are Ms. Jennifer Twiner McCarron, Thunderbird's President and CEO; and Ms. Barb Harwood, Thunderbird's CFO. Ms. Twiner McCarron will provide a strategic overview of Thunderbird Entertainment Group; and Ms. Harwood will review the company's Q4 and year-end financials. 00:39 Following the corporate update and financial review, the call will open up for a question-and-answer session.  Alternatively, if you have any questions, you can call one six zero four six eight three three five five five or e-mail investors@thunderbird.tv and the company will follow-up directly after the call. At this time, all lines have been placed on mute to prevent any background noise. 01:10 I'd like to remind everyone that certain statements made on today's call will be forward-looking and constitute forward-looking statements or forward-looking information under applicable securities laws. Forward-looking statements and information discussed on the conference call include, but are not limited to, statements with respect to company's objectives, goals or future plans and the business and operations of the company. 01:32 Forward-looking statements are necessarily based on a number of estimates and assumptions that while considered reasonable, are subject to known and unknown risks, uncertainties and other factors, which may cause actual results and future events to differ materially from those expressed or implied by such forward-looking statements. 01:50 Such factors include, but are not limited to, general business, economic and social uncertainties, litigation, legislative, environmental and other judicial regulatory, political and competitive developments. Those additional risks set out in the company's filing statement and other public documents filed on SEDAR at www.sedar.com and other matters discussed in the company's year-end news release. 02:15 Although, the company believes that the assumptions and factors used in preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements, which only apply as of the date of this presentation, and no assurance can be given that such events will occur in the disclosed timeframe or at all. Except for required by law, the company disclaims any intention or obligation to update or revise any forward-looking statement whether as a result of new information, future events or otherwise. 02:46 For your convenience, the press release, the MD&A and unaudited financial statements for the Q4 and fiscal twenty twenty one year-end Thunderbird Entertainment Group, which ended June thirty, twenty twenty one, are filed on SEDAR and are available online under the Investors section of our website. 03:06 We do not expect to update forward-looking statements continually as conditions change. This conference call is being webcast live, and the archive will be available on the company's website at www.thunderbird.tv. Please note that, Thunderbird reports in Canadian dollars unless otherwise stated. 03:25 Ms. Twiner McCarron will now provide the corporate update.
Jennifer Twiner McCarron: 03:30 Thank you so much. On behalf of everyone at Thunderbird, I'd like to welcome you to this morning's call to discuss our Q4 and fiscal twenty twenty one year end results, which ended June thirty, twenty twenty one and these results are audited. My name is Jennifer Twiner McCarron, and I am the President and CEO of Thunderbird Entertainment Group. I'm here today with our CFO, Barb Harwood, and we're both extremely thankful to have you here with us. 03:57 Once Barb and I finish updates, we're more than happy to answer any questions you may have. Thunder entertainment is on a journey to become the next major global studio. We have world-class projects, world-class partners, offices in Vancouver, Toronto, Ottawa, and Los Angeles, and award winning teams who are producing premium content for leading over the top platforms and international broadcasters. 04:20 Our fiscal twenty twenty one numbers represent everything I just mentioned from our talented teams to trusted partnerships to our contributions in building global brands. They reflect strategic and mindful thoughts around the content we choose to produce and the fruition of several initiatives that will put into place years in advance to set Thunderbird up for long term growth. 04:43 And I'm thrilled to say, we are continuing to build for our future, mapping out clear pathways and new initiatives for Thunderbird growth moving forward. These growth opportunities cover a spectrum of initiatives, some of which I will touch on today. 04:58 The first growth opportunity is the demand for content globally continues to boom. Direct to consumer subscription and ad supported platforms, as well as traditional television broadcasters and networks continue to invest in new content as competition for audience share is fierce. The industry overall remains very bullish that the demand for great television and streaming content will stay strong for many, many years to come. 05:25 Netflix now has two thirteen point five billion subscribers globally, and according to our recent SVOD forecast update, is projected to add another fifty three million subscribers to reach two seventy one million subscribers by twenty twenty six. Disney+ topped more than one hundred million subscribers within sixteen months from the platforms launch, beating its own three-year projection. 05:50 The same as SVOD forecasts report highlights that Disney+ will add one hundred and forty million subscribers between twenty twenty one and twenty twenty six to bring its total to two eighty four million. Overall, Grand View Research predicts that the global video streaming market will expand at a twenty one percent compound annual growth rate over the next seven years to reach nearly two twenty billion U.S. dollars of global revenue by twenty twenty eight,  over fifty billion U.S. dollars in twenty twenty. 06:25 We know that in the saturated market, only the highest quality content will stand out, which is why we are both excited and confident about our strategy to focus on producing top quality content to the global marketplace. In addition, we believe our strategy to have a diversified portfolio of companies producing animation factual and scripted content will be instrumental in Thunderbird’s long term growth. 06:50 Another growth opportunity is our global distribution and consumer products division which was established in January of twenty twenty one and launched with Richard Goldsmith at the helm. Having team members at Thunderbird, who are focused solely on distribution and who support all three production units increases our access to platforms around the world for potential sales and production financing opportunities. This team is also looking to invest in extraordinary productions from other companies that we can distribute. 07:20 Meanwhile, the consumer products team is focused on turning an IP into toys, video games, apparel, all forms of cross-media exploitation. A well-established foothold is the stickiest of all categories, kids and family, is another point of differentiation for our company and one that continues to propel Thunderbird’s growth forward. 07:41 For example, Atomic Cartoons, our Kids and Family Division is producing CoComelon, Nursery Rhymes Compilation to Netflix. CoComelon generated one hundred and nine billion views on YouTube and has been one of the ten most popular shows in all but a handful of countries. This is just one example of a service opportunity that demonstrates our expertise when it comes to kids and family content. 08:04 Most of the television series produced by Atomic Cartoons are for the top names in the industry. Such as Disney, Warner Media, Netflix, Peacock, and PBS. Atomic has experienced significant growth over the last few years. And we've also increased the development of company-owned or controlled IP. Some good announcements to come, and our team has pitched more new series to platforms worldwide this calendar year than any other year in our history. 08:34 Atomic Cartoons plans to commence production on some of these series in late fiscal year twenty two and into twenty three. Thunderbird is also champion in industry leading diversity and inclusion initiatives on screen and off. We know this is the right thing to do and we're doubling down on our D and I efforts. 08:53 Add to this studies have shown that diversity and exclusivity positively affects the bottom line. A recent Boston Consulting Group study of seventeen hundred companies demonstrated that a positive relationship between management diversity and innovation is statistically significant, meaning that companies with higher levels of diversity get more revenue from new products and services. 09:17 Also on the diversity front, streamers are looking to create and buy diverse and inclusive content and are continually seeking out new and authentic story tellers. Thunderbird is uniquely positioned to deliver in this area with our proven track record with shows on our production slate like Molly of Denali, Queen of the Oil Patch, Young Love, Reginald the Vampire and Dr. Savannah: Wild Rose Vet. I can't say enough how thrilled we are to execute on this new and what I would say amazing and long overdue wonderful industry mandate. 09:51 Another area of growth for Thunderbird involves M and A. We remain focused on opportunities to expand our content portfolio on all front, including strategic international expansion opportunities in Europe and Asia. We are heavily exploring acquisitions that support expanding the company's IP, as well as increase our capacity as we look to grow our own production output as well. This is a mere snapshot of the exciting things going on at the company and I'm delighted for the opportunity to continue to share our progress as we move forward. 10:22 The teams at Thunderbird are building for the future, and with visibility into twenty twenty four, we know that the investments we are making will continue to drive long term growth that extends beyond year over year results. 10:35 With this, I will turn it over to Barb to go over the numbers, and then I can provide a high level corporate update. Over to you Barb.
Barb Harwood: 10:43 Thanks, Jen, and thanks to everyone who called in today. I'd like to join Jen in expressing how proud we are of the team at Thunderbird and of the fiscal twenty twenty one results that continue to grow exponentially year over year since we first went public in November of twenty eighteen. 10:59 Consolidated revenue for the three months and year ended June thirty, twenty twenty one was twenty six point one million and one hundred and eleven point five million as compared to twenty one point one million and eighty one point three million for the comparative period of fiscal twenty twenty increases of five million or twenty four percent and thirty point two million, thirty seven percent respectively. 11:23 The majority of these increases over the comparative periods in twenty twenty is related to growth in production service projects. Production services revenue consists primarily of animation production services, which experienced continued growth. For the three months and year ended June thirty, twenty twenty one, these revenues increased by ninety one percent or eleven point four million and sixty three percent twenty point eight million over the comparative period, due to an increase in the number and size of projects. 11:56 Growth in this area reduces the volatility of results over quarters as the production services revenue is recognized as the work is completed. Licensing and distribution revenue is earned when Thunderbird owns the copyright rate to a project and is recognized once that project is considered fully delivered to the broadcaster distributor or streamer. Licensing and distribution revenue was similar compared to last year with an increase of one percent to zero point two million over fiscal twenty twenty, due to the continued renewal of series like Highway Thru Hell, Heavy Rescue: 401, and Kim's Convenience. 12:34 Consolidated net loss was zero point nine million and consolidated net income was five point seven million for the three and twelve months ended June thirty, twenty twenty one compared to a net loss of zero point five million and net income of three million for the comparative period, a decrease of zero point four million or fifty three percent and an increase of two point seven million or eighty nine percent respectively. 13:00 Adjusted EBITDA was two point three million and nineteen point six million for the three months and year ended June thirty, twenty twenty one compared to two point nine million and fifteen point five million for the comparative periods of fiscal twenty twenty. An increase of four point one million, twenty six percent respectively over the last year. These increases were primarily due to growth in production services as I mentioned previously. 13:28 In addition, with the constantly changing entertainment industry, where commercial success of content can be unpredictable, the company continues to be conservative with respect to the value of our library on the balance sheet. Consequently, we recorded additional amortization related to certain titles in our release content, totaling four point six million during fiscal twenty twenty one with two point two five million being in Q4 twenty twenty one, as compared to two point two million in fiscal twenty twenty. We remain very optimistic as we build our library that we will continue to be able to generate significant revenues from it. 14:08 And finally, a short comment about backlog. In Q3 of twenty twenty one, we reported a new metric that we defined as backlog, which related to production service and license agreements we had executed but where revenue would be recognized sometime in the future. The backlog number was meant to be reassuring about the amount of work booked. However, in meetings after the Q3 results were released, we observed that many investors interpreted the measurement improperly, which created uncertainty about the company's future prospects. 14:44 Consequently, we have decided to eliminate reporting a backlog number in the immediate future. Again, thanks for joining us today. Looking forward to your questions. Back to you, Jen. Jen, you may be on mute.
Jennifer Twiner McCarron: 15:06 Oh, sorry. There we go. Thank you, Barb. I will now provide a focus on Q4 and where we finished the fiscal year. As fiscal year end Thunderbird was in production on eighteen production with eight of them being owned IP or partner managed. It should be noted that subsequent to the year end the company released an update announcing twenty seven shows in production, an increase of nine shows since the fiscal year end. 15:32 We were so excited to share this update and put it into one place, the steady stream of new production titles and updates to our studio. At the end of Q4, our Kids and Family Division, Atomic Cartoons was in various stages of production on eleven animated series. And two Feature length animation projects, thirteen productions in total. 15:53 These programs reflect a blend of both proprietary and service based work, including co-producing Marvel’s Spidey and His Amazing Friends with Disney Jr, Molly of Denali, Season two for GBH and PBS KIDS, CoComelon Lane for Moonbug and Netflix, and My Little Pony for eOne/Hasbro, a Curious George production for Peacock, and the highly anticipated series Young Love with Sony Pictures Animation on HBO Max. 16:21 Atomic’s owned IP’s The Last Kids on Earth launched our first video game with outright games, and Atomic also received the following renewals by broadcast and streaming partners. Season two of Molly of Denali for GBH and PBS Kids and Season two of Marvel’s Spidey and His Amazing Friends with Disney Jr. Shifting focus, our Factual and Scripted Division, Great Pacific Media was in production on five series: Highway Thru Hell, Season ten; Heavy Rescue, Season 6; Deadman’s Curse, the working title, Season one; Strays, Season one; and Dr. Savannah: Wild Rose Vet in conjunction with Wapanatahk Media. 16:59 In Q4, Wapanatahk Media in partnership with Great Pacific Media, also announced the development deal with Anthony Johnson and Dr. James Makokis, the first Two-Spirit Indigenous couple to win The Amazing Race Canada. Demand for Factual content has surged through the pandemic. 17:17 Our recent Forbes article highlighted that in twenty twenty, audiences has spent twice as much time, watching documentaries and reality TV than they did any other year prior. And factual series are proven to stay on streamers most watched lists longer than scripted shows. Great Pacific Media is renowned throughout the industry for its factual programming, with multiple long running television series like Highway Thru Hell, which has aired more than one hundred episodes and is distributed in more than one hundred and ninety territories worldwide. 17:49 In fact, in June, Great Pacific Media received renewal of its three hit factual series Highway Thru Hell, Heavy Rescue: 401, and Mud Mountain Haulers, all airing on Discovery Canada. All three series also air in the U.S. on the weather channel. And GPM  all that the three new projects in development were ordered two series by Corus Entertainment: Styled, Gut Job and Deadman’s Curse. The factual division also announced that it commenced production and our lifestyle series starring, Canadian contractor, Sebastian Clovis on Save My Reno. 18:25 This series was born from Sebastian’s years of coaching homeowners to all types of housing and renovation issues and we are delighted to be working with Sebastian on another lifestyle production. Gut Job is produced in partnership with Corus Studios and were air on each HDTV Canada in twenty twenty two. 18:43 GPM also began broadening its content horizons to serve key audience demographics globally from kids on up. In development at GPM is a diverse group of production that range from how to pop culture to science, high actions, kids’ reality shows and drama. Thunderbird’s scripted programming rolls under GPM. 19:03 Our scripted group is also gaining significant momentum with the recent launch of the new CBC comedy series Strays, a spin-off of the hit series Kim's Convenience, and the imminent started principal photography on our upcoming series Reginald the Vampire, which we will co-produce with Modern Story Company and December Films. 19:22 This concludes the corporate update for today. There's truly never been a better time to be in the business of content creation, and this is especially true for the animated and factual industry. With content spending on the rise and keeping quality as our North Star, we are proudly building a reputation of housing world-class talent to create exceptional production. 19:45 As a company, we are working together to grow organically, and we are investing in our future as a major global studio. As I wrap up today's remarks, I'd like to thank you once again for joining us to discuss our fiscal twenty twenty one results. The opportunities ahead are filled with incredible potential. And on behalf of the amazing and talented teams in our Thunderbird family, thank you again for joining us on this very exciting ride. 20:11 Now Barb and I are happy to take any of your questions.
Operator: 20:15  Your first question will come from the line of Laura Martin with Needham. Please proceed.
Jennifer Twiner McCarron : 20:35 Hi, Laura.
Operator: 20:41 Hello, Laura. Your line is open. Please proceed with your question.
Laura Martin: 20:46 Hi, can you – hi there, you guys. Sorry, I was on mute. So, let me ask again. So, yesterday on the Netflix call, they said that they did not expect either video game or consumer products to contribute to revenue in the next sort of three to five years and even at peak, they didn't expect consumer products to be a meaningful contributor revenue. I know you also are pursuing sort of the video game and consumer product strategies. Do you proceed in, when you think about projections, do you think those will be material upside drivers to your revenue line and if so, what's your timeline on those two ancillary businesses?
Jennifer Twiner McCarron: 21:26 Yes, that's a great question, Laura. So, we are setting very much that's why we opened the consumer products and distribution department was to, sort of set up more of our own IP and then exploit and leverage that IP. It does take a while to make, which is why Netflix is likely projecting, they're right to project out that far because once you set the show up you develop it, you need the content on air, a significant block of content to support the launch then the toys game has to be made. 21:59 So, it really is sort of a three to five year perspective, as it relates to Thunderbird, we have a bit of a head start we'll start seeing some uptick in twenty three and things really start to pop in twenty four, twenty five and beyond.
Laura Martin: 22:18 And do you think they can be like twenty five percent of total revenue? If you could set your goal, how big do you think – give me a magnitude if you can like video games and consumer products, that could be upsized ?
Jennifer Twiner McCarron: 22:30 Well, I mean, my goodness we're always trying to be conservative. That's what we're putting into our projections. We always do ultimate low mid and high level ultimate, and we don't project high ultimate because you can't make it hit happen. But when you look at why eOne bought Hasbro for or Hasbro bought eOne for five billion in U.S. dollars, it was because of Peppa Pig and PJ Masks. And the power of those brands when they hit it's transformative. 23:02 So, we have over fifty projects coming up through our IP pipeline to set up and sell and we're very hopeful that there is a transformative IP in there. Of course, you can't make that happen, but that's certainly we're putting all the measures in place to give us the best shot.
Laura Martin: 23:22 Excellent. And then I know one of your strategy is balancing, sort of creating your own IP compared to working for other people's IP, can you give us that mix right now of how much of your backlog, I'm going to call backlog, which should just not, just continue, but how much of your late now is for your own account versus for someone else?
Jennifer Twiner McCarron: 23:47 Yeah. I'd say just over fifty percent of our slate is IP and then the rest would be service and partner management in which, sorry, IP slate up IP and partner managed and partner managed is when we have ownership in the back end. So, while we may not retain the copyright right, we do have ownership in any toys video games cross media exploitation.
Laura Martin: 24:14 So you basically have an economic claim in everything you do. It's just you own a hundred percent of IP in about fifty percent, did I hear that correctly?
Jennifer Twiner McCarron : 24:22 That's right. And then the rest is the mix of service and partnership and that's across both divisions, factual and kids and family.
Laura Martin: 24:31 Okay. Thanks so much, Great results. Thanks very much for taking my question.
Jennifer Twiner McCarron: 24:34 Thank you, Laura for your interest always and supporting Thunderbird.
Operator: 24:39 Your next question will come from the line of Aravinda Galappatthige with Canaccord Genuity. Please proceed.
Aravinda Galappatthige: 24:47 Thanks for taking my question. Congrats on the quarter end of year guys. I wanted to actually just flush out the service and proprietary mix a little bit. Obviously, Q4 was very skewed to its service. I know that's not an indicator, but when you go by the financial results, it's sort of, last year was thirty one percent maybe bit more than that distribution and licensing. Should we kind of expect that maybe a move towards forty percent or fifty percent? Quickly in terms of fiscal twenty twenty two or would that be a more gradual process as we kind of look beyond twenty two?
Jennifer Twiner McCarron: 25:27 I would say it’s a more gradual process. There's ebbs and flows in terms of when things deliver and I heard Barb jumping in probably has more granular answer Barb.
Barb Harwood: 25:36 Yeah. I was just a about to say that. Yeah, definitely and it all, as you know Aravinda it all depends on timing of when those licensing and distribution projects are going to be recognized and as we build out more of our IP and more of our libraries, we're not going to see the results until everything is delivered. So, while right now, in the results, we're seeing about an eighty twenty split on the revenue side. 26:05 It's because we've spent the time in the last couple of years building out L.A., building out Ottawa and so we're seeing the results of that. And so now we just need a little bit of time to build out that IP and to see it hit and kind of change those percentages down from being so weighted on production services to gaining a little bit more equal.
Aravinda Galappatthige: 26:24 Okay, that makes sense. Thank you. And with respect to the – just focusing on a proprietary side a little bit. Obviously, you've talked a lot of about Last Kids on Earth and the success that you had there, is there anything else you want to call out in terms of owned IP on the kids’ side, that is appearing to be prospective right now, or is it just a portfolio at this point?
Jennifer Twiner McCarron: 26:52 Well, I can say we certainly have deals in place, but we're not able to announce. So, the second that we can, we will be announcing and we can't wait to do that. We just have to make sure we're following proper protocol.
Aravinda Galappatthige: 27:08 Absolutely. And my last question is, there's been a fair bit of, I guess fair a bit of literature on what's going on in terms of Indi space, quite a bit of M and A. I mean the very high end we saw MGM get taken out on I guess on the big cap side, let's call it, we've seen a number of independent studios get sold, including Hello Sunshine and so forth, but it appears to be attractive multiples. Obviously great for you guys on one side when you think about the stock, but on the other hand, company with cash looking to grow, potentially looking to acquire, does that make it a little bit difficult for you to pursue, sort of your M and A strategy that you are seeing, set of potential targets starting to, kind of price themselves up a little bit?
Jennifer Twiner McCarron: 28:00 Yes, it’s a great question and one that we round table, certainly, when we look at M and A, we're looking at different approaches to it. And we still do feel it's very achievable with the strategy that I've outlined before. But just as everybody else's multiple going up, those are. So, that's not necessarily a bad thing. But definitely it's hard, and I think it's just a good nod to the power of content and what a massively lucrative industry is.
Aravinda Galappatthige: 28:33 Excellent. Thank you. All the best.
Jennifer Twiner McCarron: 28:36 Yes, thank you so much Aravinda. Thank you.
Operator: 28:39  Your next question will come from the line of Adam Wilk with Greystone Capital Markets. Please proceed.
Jennifer Twiner McCarron: 28:52 Hi, Adam. How are you?
Adam Wilk: 28:53 Thanks for taking my questions. Good. Thanks. How are you?
Jennifer Twiner McCarron: 28:56 Good. Thank you.
Adam Wilk: 28:59 Yeah. Great job this year really phenomenal results. I just had a couple sort of higher level questions. First in line with your commentary about pitching new shows an ideas, it seems like, sort of whatever process you undertake in that area is clearly working. The growth in the production slate from just June of this year has been tremendous and doesn't really seem to be slowing down. So, do you have any comments there just in terms of maybe keeping up this level of growth in show development? I mean, this is, I mean, we're kind of looking at the norm moving forward, correct?
Jennifer Twiner McCarron: 29:35 Yeah. No, we definitely have, it's amazing how much the need for content is. The streamers constantly have to refresh their site. Our long term strategy of focusing on diverse inclusive high quality content is paying off in stage right now. I always need to give the team shout out in March of twenty twenty. Our company, and I’ve heard this for many buyers, was one of the only companies really to transition successfully everyone off-site and not miss any deliveries or create a lot of any overages for anyone. 30:10 So, that has won us a lot of good speed within the industry. And no, there's no signs of slowing down. We're still selective about what we try to do because we want everything we do to stand on the shoulders as the last one. And we want to produce with a lot of integrity. So, it's very grateful that all of the new players in the industry, Disney, Apple, HBO Max, etcetera, aren't startups. They're here to stay. So, a company like ours in a pure content play is really benefiting from the market tension.
Adam Wilk: 30:48 I appreciate that. Thank you. And then, I also appreciated your industry commentary at the beginning of the call. And I referenced with the last analyst, but for anybody paying attention, it's clearly no secret that the demand content is incredibly strong right now and a lot of that, I think is being expressed through M and A activity across the industry? And kind of from where I'm sitting, it seems like anyone with anything resembling some owned IP or some sort of brand is being scoped up usually for a really high multiple of revenues or they're shopping around their company, yet Thunderbird despite its growth, owned IP backlog project pipeline relationships with streamers is sort of being left out into the cold with your valuation and sort of kind of being ignored by the rest of the market and you guys are kind of the rare case where you have the balance sheet and your cash flow positive. 31:44 I mean, look what – we can all see what Blackstone is currently buying among other things and some of these companies have less than like five shows released or in production they don't make any money. And so, if you guys are valued at something even close to some of these revenue multiples, we all, I think be looking at like a double digit stock. So, all that is to say, finally, to my question, as you guys continue to execute and if your valuation continues to sort of lag the rest of the industry, can you maybe talk about some of the, I guess steps you'd be interested in taking to, sort of close that gap, whether it would be M and A up listing to the U.S. or even potentially exploring maybe like a merger or an acquisition where you guys might be able to take advantage of some of the large amounts of capital out there looking to make some of these strategic deals?
Jennifer Twiner McCarron: 32:32 Yeah. that's a great question, Adam. And certainly, I think we've been set on running our own rates doing it. You know true to our value system. I believe this story will continue to catch fire. I see the amazing and inspiring work going on here every day. But our goal is honor all of the employees and all of the shareholders and the end goal is not to do sort of a   on the venture exchange. 32:57 We want to grow, be it through our own M and A. We're also very attractive company. I think getting an uplift at this point at our size, we'd like to be bigger with a little bit more gravitas. So, we're exploring all options heavily and it's the main point of focus. The business is running well. The foundation is solid. 33:22 Now, we just need to honor, make sure we're honoring everyone within the public market. So, everything, every conversation is on the table and we're open to what are the best steps to becoming the next major global studio that is our goal. We still will go on our way and how do we honor our shareholders in that process.
Adam Wilk: 33:44 I appreciate that fair enough. And then one more for me just a quick clarification question. Of the shows that you mentioned that are in production or where you have deals in place that you aren't able to disclose, do those fall outside of the disclosed production slate that you release during the – in the PR or is that inclusive of the twenty seven shows?
Jennifer Twiner McCarron : 34:09 That's a very good question. Those would follow the yet to be announced IP.
Adam Wilk: 34:14 Okay, great. Well, yeah, thank you very much for the time and really appreciate it as always and great job.
Jennifer Twiner McCarron : 34:21 Oh, thank you Adam for following the company. And really appreciate your questions.
Operator: 34:27 Your next question will come from the line of Cullen Rose with Stoic Point. Please proceed.
Jennifer Twiner McCarron: 34:34 Hey Collin, how are you?
Cullen Rose: 34:37 Good. How are you?
Jennifer Twiner McCarron: 34:38 Good. Thank you for calling in.
Cullen Rose: 34:41 Sure. Wouldn't miss it. Actually, just a couple of clarification questions. One just on the production services growth in the quarter, kind of mind blowing. Can you just maybe elaborate a little bit on was there some lumpiness or just a lot of things hitting at once, just thinking about how to extrapolate what we just saw in this quarter versus what we might expect going forward?
Jennifer Twiner McCarron: 35:10 Yeah Barb, do you want to speak to the specific timing?
Barb Harwood: 35:16 Yeah. I think there was just a lot of production that sort started in fiscal twenty twenty one that sort of started to increase and kind of hit their high points. So, we're in the quarter. I do see that it was a significant, certainly a significant amount compared to last year and compared to the year overall, but that was about it. There was some sizable projects that kind of hit their running speed during the quarter.
Cullen Rose: 35:47 Got it. And then obviously licensing is a lot harder to, I don't know perhaps forecast at least for us, but the thing about the underlying drivers, can you speak to maybe at a high level expectation for licensing within Great Pacific Media versus Atomic. I guess, first question was is Great Pacific Media capable of generating high single digit low double digit growth something like that within the licensing business, which seems to be most of the licensing business today? Is that fair?
Jennifer Twiner McCarron : 36:30 Yeah. I think when we look at distributing consumer products and whatnot, it's great on the majority of work going to Great Pacific Media is fully owned and there's a huge again need for that content around the world as or there is Kids and Family. I'd say Kids and Family is a bit more evergreen because a lot of it's animated, so you don't have that kind of   or whatever. 36:58 It can be repurposed for a very long time. And arguably have more success in the Kids and Family division with merch, and all type of cross-media expectations. But with Richard having joining the company, we were looking at our factual division, our scripted, our kids and family and we're going through the entire library and what else can we monitor, we haven't explored some of the other ways of monetizing this owned IP. 37:26 So, it's really exciting to actually have a look at it all and see how we can further lift it. So, I think with this new addition in the men's skill set aside  company now to represent our own brands, plus other people. We do expect all divisions to lift in these areas simply because it wasn't a core competency that we previously had.
Cullen Rose: 37:54 Got it. Somewhat related, I guess, the portfolio review and maybe Barb can clarify. Did you call out an additional two point two million dollars of write up amortization cost? Kind of incremental as a part of a portfolio review in the fourth quarter?
Barb Harwood: 38:14 Yeah. I mean, we continue to really take a hard look at our library and with Richard coming on in January, he's been really digging through things looking at the changes in industry. We're discovering a lot of different changes in the industry that sometimes will help or hinder the sales of a particular title. 38:36 And so that two point two accelerated amortization in Q4 is just a progression of the hard look that we're taking on the balance sheet and him coming on like kind of his first six months, taking a look at that those titles and stuff. We're being very realistic and conservative I think because we don't want to face continuing years with impairments. We want to be really cognizant of the value of things on the balance sheet.
Cullen Rose: 39:12 Right.
Jennifer Twiner McCarron: 39:12 And we have better strategy in place. Sorry, Cullen, going forward, we've got a really tight strategy now with this new team of not, you know going forward like accurately assessing properties and whatnot. So, we're just yeah, to Barb’s point we are just trying to be as tight as possible and then we've got some very good processes in place going forward.
Cullen Rose: 39:35 Got it. Well, great quarter. I guess I would just, as you might expect would echo, what Adam has said and tied to the question about M and A, which is to your own point of your stock price going up and the attractiveness of things out there using your stock is currency. Much more effective to use it when it's appropriately valued. And it's kind of a circular game here of who's going to acknowledge with what the story is versus who's paying attention to versus how big it is all tied together to who's paying attention. So, would encourage you and the board to think long and hard about, is the story, is this story as compelling as it is getting enough attention and focus based on probably its current listing status?
Jennifer Twiner McCarron: 40:26 Well said Cullen and we agree. My job is easy, I just get to brag about everyone's amazing work and you know, try to lead .
Cullen Rose: 40:35 That’s right and make great content.
Jennifer Twiner McCarron: 40:39 Exactly. No, really appreciate the comments. And thank you for all your support.
Cullen Rose: 0:40:45 Thank you.
Operator: 40:48 At this time, there are no further questions in queue.
Jennifer Twiner McCarron: 40:55 Thank you all for joining.
Operator: 41:03 This concludes our call today. If you have any questions, please call one six zero four six eight three three five five five or email investors@thunderbird.tv. Thank you. You may now disconnect.